Operator: Good day ladies and gentlemen and welcome to the Q3 2010 NACCO Industries Earnings Conference Call. My name is Steve, and I will be your operator for today. At this time all participants are in listen-only mode. We will be conducting a question and answer session towards the end of today’s conference. (Operator Instructions). As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Ms. Christina Kmetko.
Christina Kmetko: Thank you. Good morning, everyone, and thank you for joining us today. Yesterday, a press release was distributed outlining NACCO's results for the third quarter, ended September 30, 2010. If anyone has not received a copy of this earnings release or would like a copy of the Q, please call me at 440-449-9669 and I will be happy to send you this information. You may also obtain copies of these items on the NACCO website at nacco.com. The conference call today will be hosted by Al Rankin, Chairman, President, and Chief Executive Officer of NACCO Industries. Also in attendance, representing NACCO Industries is Ken Schilling, Vice President and Controller. Al will provide an overview of the quarter and full year and then open up the call to your questions. Before we begin, I would like to remind participants that this conference call may contain certain forward-looking statements. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements made here today. Additional information regarding these risks and uncertainties was set forth in the earnings release and in the Q. In addition, certain amounts discussed during this call are considered non-GAAP numbers. The non-GAAP reconciliations of these amounts are included in our 2010 third quarter earnings release, which is available on the website. I will now turn the call over to Mr. Al Rankin.
Al Rankin: Good morning to all of you. As our press release indicated, NACCO had consolidated net income of 13 ½ million or $1.62 per share for the third quarter of 2010. On revenues it’s $665 million. That compared with a net loss for the third quarter of 2009 of 3.9 million or $0.47 per share on revenues of $528 million. The net loss for the third quarter of last year includes earnings from discontinued operations of $400,000 after tax as a result of the sale in 2009 of certain assets of North America Coals Red River Mining Company. In overview for the quarter, net income increased very significantly at NACCO Material Handling. Net income was down a bit at Hamilton Beach in Kitchen Collection, our consumer oriented business and at North America Coal Corporation net income was flat. At the NACCO level, there was a significantly larger loss. That loss was on – largely related to litigation expenses and about $4 million after tax, and an increase in employee related expenses, which results from the partial restoration of compensation benefits were produced in 2009. The company reported consolidated net income for the nine months $41.1 million or $4.93 a share, a net compared with a net loss in the previous year of $11.4 million or $1.38 a share. Turning to results at the individual subsidiary companies, NACCO Materials Handling Group reported net income of $3.8 million on revenues at 442 million in the third quarter, compared to a net loss of $22.4 million on revenues at 328 billion in the previous year. Operating profit was 8.2 million in comparison to an operating loss of 20.4 million in 2009. At third quarter of 2009, operating loss and the net loss include restructuring charges totally 6.9 million both before and after tax for restructuring of our Italian operations and for additional reduction in-force programs that occurred during that period. Revenues increased 35% in the third quarter compared with previous year as a result of an increase in units and parts volume in the Americas and Europe. New unit’s shipments increased to approximately 15,400 units in the third quarter from 13,800 units in the second quarter and from 9,400 units in the previous year’s third quarter. The backlog was approximately 24,500 units at September 30 and that compared with 21,700 at June 30, and about 13,200 a year ago in 2009. NACCO Materials Handling Group’s third quarter net income increased very significantly compared with third quarter of 2009 primarily due to higher sales volumes and margins on both units and parts, and lower manufacturing variances as a result of higher production levels in 2010. Favorable foreign currency movements primarily from the strengthening of the Brazilian Real against U.S. dollar and the absence of restructuring charges which we had in the previous year also contributed to the increase. The improvement in net income was partially offset by an increase in employee-related expenses, which resulted from the partial restoration of compensation and benefits which were reduced in 2009, increased material and freight costs, and higher income tax expense. As you forward, NACCO Materials Handling Group expects that the global market levels per units and parts volumes will continue to improve in the fourth quarter of 2010 compared with the fourth quarter of 2009. All markets are expected to continue to grow but at moderate rates during the fourth quarter. As a result, the company expects increased bookings compared with the fourth quarter of 2009. Unit shipment levels and parts sales are also expected to increase in the fourth quarter of 2010 compared with the year earlier. NACCO Materials Handling Group took a number of actions, as you know, in late 2008 and during 2009 to respond to depressed market conditions. A portion of the salary reductions and incentive compensations were reinstituted during the first nine months of 2010, and remaining salary reductions have been fully restored in the fourth quarter of 2010. Further, with market demand at improved levels, and our higher backlogs, NACCO Materials Handling Group is increasing its plant workforce by adding workers and shifts for certain manufacturing operations during the fourth quarter to meet the ongoing demand and to reduced lead times. NMHG anticipates that material costs, particularly steel, are going to continue to increase in the fourth quarter of 2010 and it will carry forward into next year. And as a result, price increases on selected models have been announced during this second and fourth quarters of 2010, which in combination with additional increases, if needed, are expected over time to offset the effect of increased commodity cost. NMHG’s new electric rider lift truck program and warehouse, internal combustion engine and big truck product development programs are all progressing as planned. The new electric lift truck program, as we mentioned before, is bringing a full line of newly designed products to market, and the company also introduced a new 5,000 pound base-model internal combustion engine lift truck aimed at the medium duty segment of the market, in the Americas in July of 2010. And the remaining trucks in this series are expected to be completely rolled out in the Americas and Europe, and some degree in Asia-Pacific by 2012. In the context of these new product introductions, the company will continue to focus on enhancing distribution and effectiveness, and capitalizing on its current, on its product cost position with the objective of gaining additional market share. Overall, market improvements anticipated in the fourth quarter are expected to generate increased profitability in 2010 compared with 2009. In cash flow, before financing activities for the full-year 2010, is expected to be significant but very significantly lower than 2009 because the working capital reductions in 2009 related to lower business activity will not be repeated in 2010. Hamilton Beach reported net income of 5.6 million for the third quarter of 2010 on revenues of 133 million and that compared with net income of 6.9 million to the third quarter on revenues of 119 million in 2009. Operating profit was 10.9 million compared with 13 ½ million in the previous year. Revenues increased 12% compared with 2009 primarily due to increased unit sales volumes of products at lower average selling prices, mainly in U.S. consumer retail market. Net income and operating profit declined in the third quarter compared with 2009, primarily due to higher employee-related expenses resulting from the full restoration of certain compensation and benefits that were reduced during the first 9 months of 2009. And the programs in Hamilton Beach that were cut back in compensation levels have all now been restored in that business. The small kitchen appliance market in which Hamilton Beach participates continues to recover. As you look to the future, the company has continued to secure strong placements and has strong promotional programs for the holiday selling season, and is moderately optimistic that markets for its consumer goods will strengthen further in the remainder of 2010 in comparison to 2009. As a result, Hamilton Beach expects revenues for the fourth quarter of 2010 to be higher than the preceding year. However, although the market has shown improvement, compared to 2009, the pace and sustainability of the upturn still remains uncertain because consumers continue to struggle with financial concerns and high unemployment rates. And if the company’s markets begin to deteriorate again, revenues could of course be effected adversely. Overall, fourth quarter net income and full-year cash flow before financing activities for 2010 are expected to be strong but lower than comparable periods in 2009. Anticipated lower gross margin due to increased product and transportation costs are expected to be partially offset by lower selling, general, and administrative expenses in the fourth quarter. Kitchen Collection reported a net loss of $100,000 on revenues of 47.5 million in the third quarter. That compares with net income of 300,000 on revenues of 48.3 million for the third quarter of 2009. The revenues decreased slightly compared with the third quarter of the previous year. Sales at newly opened Kitchen Collection and Le Gourmet Chef stores, and an increase in comparable store sales in both store formats, almost completely offset the decline in revenues caused by closing primarily unprofitable Kitchen Collection and Le Gourmet Chef stores since December 30, 2009. At September 30 of 2010, Kitchen Collection operated 219 stores, compared with 211 in the previous year and with Gourmet Chef, operated 66 stores compared with 77 in the previous year. Similarly to Hamilton Beach, at KCI consumer sentiment spending levels continue to reflect financial concerns and high unemployment rates, resulting in an uncertain and challenging retail environment. However, the outlet mall market has remained less volatile than in early 2009. And the company expects to continue to take advance of opportunities to increase the number of temporary and seasonal stores in the fourth quarter holiday selling season. As a result, Kitchen Collection expects fourth quarter and full-year revenue to increase compared with 2009. The favorable sales trends that occurred in the reformatted Le Gourmets Chef stores in the second half of 2009 and early 2010 are expected to continue in the fourth quarter. In addition, the company plans to continue to refine promotional offers and merchandise mix in the Le Gourmet Chef stores to improve sales and margins. The opening of new stores in seasonal store locations during the holiday season, renegotiation of leases, companies continuing program of closing under-performing stores are also expected to provide improved results for the remainder of 2010. On the other hand, the company does anticipate increased transportation cost in the fourth quarter and expects to offset these through pricing and other actions as needed. Overall, Kitchen Collection expects 2010 fourth quarter net income and full-year cash flow before financing activities to be similar to the comparable 2009 periods. Longer term, Kitchen Collection is going to continue to focus on enhancing its sales volumes through continued improvements in its Kitchen Collection and Le Gourmets Chef store formats, and by strengthening its merchandise mix and store displayed and the appearance and optimizing store selling space, the company continues to expect to generate sales growth. Kitchen Collection also expects to achieve store growth in both formats, in both outlets and traditional malls over the longer term while maintaining tight cost control. North American Coal’s net income for the third quarter was $11 million on revenues at 42 million compared with $11 million net income and sales at 33 million in the third quarter of 2009. Income from continuing operations in 2009 included the receipt of lease bonus payments of $7.1 million pre-tax for certain oil and gas mineral rights controlled by North American Coal. Revenues increased 29% compared with the previous year primarily due to an increase in royalties received from third parties and increased deliveries to Florida, limerock dragline mining operations. An increase in contractually reimbursable costs at the San Miguel Mine and contractual price increase – price escalation at Mississippi Lignite Mining Company also contributed to increases in revenues. Excluding the effect of prior year lease bonus payments, net income improved significantly compared with the third quarter of 2009. That improvement is mainly due to an increase in royalties from third parties and lower costs of sales at Mississippi Lignite Mining Company. Improved results at the Limerock dragline mining operations primarily due to higher deliveries also contributed to the increase in net income. Looking forward, North American Coal expects steady performance at its coal mining operations in the fourth quarter, provided customers continue to achieve currently planned power plant operating levels. Overall, tons delivered at the coalmines for the full-year of 2010 are expected to be comparable to 2009. However, fourth quarter tons, while higher than 2009, are expected to be lower than the 2010 third quarter as a result of reduced customer requirements and the timing of a customer’s planned power plant outage. Limerock deliveries are expected to be significantly higher in the fourth quarter of 2010 and then in the preceding year. As you’ll remember, the U.S. Army Corps of Engineers issued new mining permits for our customers in the Florida lake belt region, where an unfavorable legal ruling previously set aside the customers mining permits. Although those quarries are back in production, production levels are expected to continue at pretty moderate rates because of the continued depressed levels of the southern Florida housing and construction markets. The coal company continues to focus on new project opportunities and it expects to incur additional expenses in 2010, and in the fourth quarter. In particular, the company continues to move forward to gain a permit for its Otter Creek reserve in North Dakota, in preparation for the expected construction of the new mine. The permit is expected to be issued in the first half of 2011. Overall North American Coal expects fourth quarter and full-year 2010 income, excluding discontinued operations to increase over comparable 2009 income. Cash flow before financing is expected to be significant, but down from 2009, when North American Coal sold the Red River Mining Company. During the third quarter of 2010, the North American Coal also sold the majority of the assets of its investment in Great River Energy for cash proceeds of $11.2 million, which enhanced that cash flow. That’s an overview of the third quarter earnings release and the background for the increase in net income from a loss, a net loss of $0.47 a share in 2009 to a profit of $1.62 a share in 2010. And we can turn to questions now, if you have any.
Operator: (Operator Instructions). And your first question comes from the line of Schon Williams with BB&T Capital Markets.
Schon Williams – BB&T Capital Markets: Hi. Good morning.
Al Rankin : Good morning.
Schon Williams – BB&T Capital Markets: Congratulations on the quarter. I’d like to maybe start off with material handling. It looks like, you know, shipments were obviously up significantly versus second quarter. And I think the last time we had talked we had, I guess the tone was kind of slow and steady pace in terms of ramping up the shipments. You know seasonally Q3 is expected to be down versus Q2, but again it looks like you were ramping up. Can you give me a little bit of color on what your thoughts are in terms of in Q4 and moving into next year? How quickly can you ramp up shipments in order to get them more in line with where your order rate is right now?
Al Rankin: Well, we’re now moving our shipment levels up in the fourth quarter and we’ve been adding, as I indicated, we’ve been hiring additional employees, adding some shifts. Again, we’re doing this in a careful manner in order to ensure that our suppliers can match their ability to ramp up with our ability. Obviously, whether backlogs continue to increase will depend on the incoming flow orders and that’s very difficult to predict. There are a lot of timing issues, there are uncertainties as to how quickly the economy will continue to recover, but we feel very comfortable that the level that we’re moving to are levels we can sustain for a good period of time and ensure that the economy has time to fully catch up with us.
Schon Williams – BB&T Capital Markets: Okay. And then I was wondering if you could give us a little bit of update on the new dealers that you’ve acquired? I mean, obviously there was announcements back in Q2 in the UK, there’s been announcements in Russia. Are you starting to see any benefits from that in our order rates, or is that going to take a little bit – is that going to take several quarters to play out?
Al Rankin: It depends on which dealers you’re talking about; dealer in Russia have been in place for a while and there’s combination of orders for shipments and orders for stock that have come through. We feel that a number of those additional dealers have been performing very well. Eastern Europe has been a good area of strength for us. Some of the other dealers, you mentioned the UK, I think it’s going to take a somewhat longer period for them to come fully online, but the best way to think about it is that we certainly don’t expect to lose any ground in terms of bookings and shipments and overtime to – we expect these strengthened dealers to contribute substantially to our overall position in the UK, in particular, the dealers that converted to our Yale brand from another brand and we would certainly expect that many of those customers would come along with us and stay with their dealers. So I think that’s the case in a number of areas in different parts of the world and generally speaking, the new dealers we’ve been adding are increasing our volume and doing well.
Schon Williams – BB&T Capital Markets: Okay. And then I guess you mentioned some change going on within a dealer network. Can you give us an update on I guess the progression of some of the dealer consolidations between the two brands? It seems like I see, you know, an announcement every couple of weeks now. Is the pace of the consolidation, is that accelerating? And maybe how do you see that playing out over the next six to 12 months?
Al Rankin: I think it’s going to be a slow-steady process. I think the logic and economics lie behind that approach. But we have many very good Signal brand dealers and I think the overall objective is to ensure that we have strong dealers throughout our distribution network and that is one of the tools that we’re providing that not only allows us to have stronger dealers, but also to have more focused sales and marketing efforts in order to serve the customer base that’s out there more effectively. So I don’t anticipate that there’s going to be a large number of these taking place all at once. I think this is much more in the nature of a continual progression and focused around strong excellent dealers.
Schon Williams – BB&T Capital Markets: Okay. And then lastly on material handling, it looks like you put through some pricing this summer. There’s possible some more additional pricing going through in Q4. Can you give me an order of magnitude or is it kind of – are we talking about kind of low single digits?
Al Rankin: Oh yeah, you’re talking about very low single digits. These are not really large price increases. And we feel comfortable that we can move those into the marketplace and it’s worth keeping in mind that we have a lot of competitors who have a significant amount of Japanese content, Yen content in their trucks. We certainly have some, but we have competitors who have a considerable amount more. And as you can imagine with the Yen trading around $0.80 to the dollar, those components that are coming from Japan are very, very expensive. So I think may of the competitors are facing the same cost increases and some more because of their currency position. So we have been moving forward with the kinds of low single digit numbers that you suggest.
Schon Williams – BB&T Capital Markets: Okay. And kind of moving onto Hamilton Beach, it looks like there’s some new product lines that are coming out within Hamilton Beach related to, I guess there’s some new coffee offerings. Can you quantify exactly how much material those will be going forward? Are those, you know, are those kind of at the fringes, they’re going to help, but these aren’t really needle movers? Or I guess just give me some order of magnitude as new product introduction.
Al Rankin: You know, I’d rather answer the question, I think, by saying that it’s an industry that requires constant renewal of products. And while there are some new products that can carve out fundamentally new positions as our brew station did a number of years ago, and as we certainly hope that some of our single-serve coffee offerings will do in the future. Many of these new products are replacements for older products that are either lower cost or improved features in performance, or new to the consumer in a way that we think will be attractive to them and helpful to our customers in terms of getting sell through for them. So I don’t have at my fingertips what the percentage is of new products in – what the percentage is of products that we sell that have been developed in the last three or four years. But there’s a very high degree of renewal going on all the time. I think that sales volume increases in the near term will come more from promotional activities and fourth quarter placements that we have been selected for by our customers which we think will be advantageous for us in the fourth quarter. But I think increasingly over the course of the next year or so, you’ll see additional new products come out that will also be helpful in the sense of expanding the participation level and approach that we participate in.
Schon Williams – BB&T Capital Markets: Okay. And then, you know, Hamilton Beach has made significant progress in terms of the operating process. You are significantly ahead of where you were kind of going into the downturn. Are you or the Board considering any strategic alternatives for that unit? I know at one point it was a possible spin off candidate. What’s your current thinking there?
Al Rankin: Well, I think the best way to answer the question is to say we are always thinking about strategic alternatives. And we’ve certainly demonstrated that in the case of Hamilton Beach over time. I would simply say that from our perspective, perhaps the more important aspect is that we do feel overtime that the industry will continue to consolidate and that should provide opportunity for Hamilton Beach one way or the other. We keep our eyes open and we’ll continue – we’ve been doing that in the past and we’ll continue to do that in the future, but that’s as much as I would want to comment on.
Schon Williams – BB&T Capital Markets: Okay. All right. I appreciate the update. And then just a couple questions on coal. When I talk to a number of coal producers, especially with Central Appalachia, there seems to be kind of a significant regulatory [inaudible] hanging over the industry right now after kind of following the Massey incidents. Have you seen any productivity issues because of increased regulation at any of your limerock minds?
Al Rankin: You know, the sort answer to your question is not to my knowledge. Now, has it been an environment which is more difficult to deal with, I think probably the answer to that is yes. I would point you to a couple things. However, our safety record is truly extraordinary. We have – safety is number one, number two and number three for us. And we have a terrific record. We are way, way below the industry levels in terms of watch time, accidents and time loss. We have incentives that are tied to safety. So to the extent that regulators are concerned about mine safety, first of all we’re not in the underground business and second, in the service mining business. We have an exemplary record. You can’t continuously improve and we strive to do that. But our record is extremely good. You may remember that we had one mine that went for 15 years without a single loss-time accident. That’s sort of unheard of. So on the safety side, I think there’s no question that the individuals are doing the examinations at the mines, they’re under a lot of pressure to identify problems and show that they’re being efficient and capable in regulation. But we feel good about that. All right, in the environmental area, we have always also had an exemplary record. We have won many awards for the quality of the work that we do in terms of returning the land to its previous or better state to managing water, to doing all of the kinds of things that one has to do in the coal mining industry. So we have a very important and focused program on ensuring environmental compliance, being the best possible citizen in the states where we operate. And so again, I feel that there’s no loss of productivity that there’s certainly an intense focus on environmental compliance, but frankly we already had that in our own operations anyway. So I don’t think it’s a particularly pleasant environment right at the moment in terms of the way it’s operating. I think it’s more contentious in some ways than perhaps is beneficial. On the other hand, we think our record is outstanding and we are determined to keep it that way. And that’s how we’ll respond and I don’t think it’s having any significant impact on our ability to do an effective and productive job for our customers.
Schon Williams – BB&T Capital Markets: Okay. And can you talk a little bit about the – it looks like you exited the investment with Great American Energy. Is that related to the coal drying technology and maybe talk about why you decided to sell off some of those assets?
Al Rankin: Well really, it is related to a portion of the coal drying technology. We have kept a small investment in a portion of that activity which would allow us to participate in broad-based commercial sales, which have a different coal fine structures and the part that we have been – where we’ve recovered our investment. I think the best way to think about the reason for us having recovered our investment is that our customer who owns the coal-fired plant that we’ll use that dried coal from the load-out facilities and the rest that were represented by those investments, for their own reasons wanted to delay those and to restructure them in a way that made it not all that sensible for us to continue to participate, economics simply changed and we have a very constructive relationship with the power plant owner and they recognize that the basic underpinnings that shifted in a way that made sense for them to reimburse us or investment in that operation. So that’s what happened.
Schon Williams – BB&T Capital Markets: Yeah, but you still had to take a loss on that investment. Is that right?
Al Rankin: No, we were reimbursed for all of our money, but the accountant require us to capitalize a portion of that as interest and so there was really no loss from our point of view. It was the time value of money, nothing else.
Schon Williams – BB&T Capital Markets: Okay. And then last question for me, can you just give us an update on where the litigation stands? It looks like costs continue to accelerate into the quarter. Can you give me any sense of when, you know, kind of time frame of how this is going to progress and maybe where the dollars go from here? Do we continue to see those dollars move up?
Al Rankin: Well, I think we’ve been through a particularly intense time period in terms of the litigation and therefore the cost have been higher. I would expect that if we stay on the track that is the currently-planned track that this matter would go to trial in the early part of next year. And there will be, obviously, trial preparation expenses and so on; in large measure, a lot of the deposition work is completed by both sides so there’ll be some change in the costs there. But it’s very hard to predict exactly how much will be involved and I think you just have to look through to the end of the period when the litigation is over at this point.
Schon Williams – BB&T Capital Markets: Okay. Thank you for the update.
Al Rankin: Okay.
Operator: (Operator Instructions)
Al Rankin: Okay. If there are no other questions, at this point I’d just close it up by saying that we feel that we had a good third quarter, that our operations are all increasingly normalized, that we’re operating really without the special programs that we put in place during the downturn at three of our business; NACCO Materials Handling Group. In 2011 all of those will be back in place and most of them are back in place in the fourth quarter of 2010. And we’re hopeful that the economy will continue to strengthen and that’s what we’re watching most carefully is to see exactly what the trajectory of the economy is as we move forward. Does it move up more quickly, or is it a slower upturn. So we’re watching that very carefully, and I thank you all for joining us this morning.
Operator: Ladies and gentlemen, that concludes today’s conference. There will be a replay of today’s call, posted shortly. You may access the replay for the next ten days by dialing 1-888-286-8010 and entering the passcode 30149859. Once again, that concludes today’s conference. Thank you for your participation. You may now disconnect.